Operator: Good afternoon and welcome to the Numinus Wellness Inc.’s Fiscal Second Quarter 2022 Results Conference Call. A question-and-answer session for analysts and institutional investors will follow the formal remarks. As a reminder, this call is being recorded. I would now like to turn the conference call over to your host, Jamie Kokoska, Vice President Investor Relations. Please proceed.
Jamie Kokoska: Thank you, Emma. Good afternoon, everyone, and thank you for joining us for our fiscal second quarter 2022 results conference call. Discussing Numinus’ performance today are Payton Nyquvest, Founder and CEO; and John Fong, Chief Financial Officer. Joining us for analysts’ questions at the end of our formal remarks will be Evan Wood, Chief Medical Officer. The following discussion may include forward-looking statements that are based on current expectations and are subject to a number of risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our MD&A for the quarter ended February 28, 2022 and in our other Canadian securities filings available on SEDAR. Numinus does not undertake to update or revise any forward-looking statements to reflect new events or circumstances, except as required by law. Our second quarter results were made available earlier this afternoon. We encourage you to review our earnings release, MD&A and financial statements, which are available on our website, as well as on SEDAR. As a reminder, all figures discussed on today’s call are in Canadian dollars. I’ll now turn the call over to Payton Nyquvest, Chief Executive Officer.
Payton Nyquvest: Thanks Jamie and good afternoon, everybody. Before I provide my comments, as I acknowledged on the last earnings call, I’d like to extend the utmost gratitude that our work is conducted on the unceded homelands of the Musqueam, Squamish and Tsleil-Waututh Peoples and on the on other sovereign indigenous lands and territories across Turtle Island. We are committed to a path towards reconciliation through continuous learning, reciprocity and humility. Our fiscal second quarter demonstrated the positive impact of our growing service offering and the efficiency of our operating platform with gross margin for the first quarter reaching 29.1%, which is significant improvement from the 6.5% gross margin achieved just last quarter. Most of this improvement was due to a greater number of client appointments being for Ketamine-assisted therapy, as well as the successful integration of the Neurology Centre of Toronto, which continues to be fully booked, often for high margin neurology-focused services. Overall, we were pleased with the quarter’s performance with revenue in line with our previous quarter, despite the anticipated slower period over the December holidays, and having fewer days in the quarter compared to Q1. But probably most importantly and impactful for our shareholders, subsequent to the second quarter and just earlier this week, we announced the transformational acquisition that will significantly enhance the growth trajectory of Numinus. With our proposed acquisition of Novamind, a well respected integrated mental health company operating eight wellness clinics across Utah and Arizona, and highly regarded clinical research management division. This acquisition marks our largest acquisition to date and our first expansion into United States. Following completion of the acquisition, our combined business will have 13 wellness clinics across North America, 4 clinical research sites, and our bioanalytical lab. We have never been more excited about the future of Numinus. Before I provide more details about this announced acquisition, let me first review some of the highlights that occurred during our second quarter. Numinus Health, our client facing wellness clinic division, we were pleased with a 5% revenue growth achieved compared to the first quarter, given the second quarter is seasonally impacted by slower clinic activity over the December holidays. Even with the two weeks of expected slower therapy activity and fewer days in the quarter, our clinics saw client appointments declined only by 14% with the previous quarter. More importantly, the mix of services booked by clients shifted more towards higher margin offerings, such as Ketamine-assisted therapies and neurology services, which significantly improved our gross margin -- or gross profit, sorry. Overall, Numinus Health achieved a 29.8% gross margin during the quarter and $203,000 of gross profit. I’ll also add that the increase in Ketamine-assisted therapies was due both to the increased client demand and also a greater availability of appointments as we continue to train more therapists on this specialized treatment through our proprietary KAP therapist training program. This training has been proven to be extremely well received by those who have participated, and we believe it will be a key differentiator for our business as we have the ability to train additional therapists as our business continues to grow. We believe the future training programs for other psychedelic therapies could be modeled off this training program and will help to ensure consistent quality care will be available to clients with their chosen therapist at any of our wellness clinics. As a reminder, all of our wellness clinics provide a wide range of mental health care services alongside psychedelic-assisted treatments. And these include traditional therapies, group therapies, couple therapies, and now neurological care. Collectively, these services will continue to drive reliable revenue streams and cash flows across our clinic network as we grow our psychedelic therapy offering in line with regulatory reform. Numinus Bioscience, many key developments occurred during the second quarter that will provide long lasting benefits to the breadth of research and expertise we can draw on. First, we received approval from Health Canada to add Ayahuasca and San Pedro to our Health Canada Controlled Drugs and Substances license, allowing our lab to now possess, produce, assemble, sell, export, deliver, test, and research these unique psychedelic compounds, alongside DMT, Ketamine, LSD, mescaline, MDMA, psilocin, psilocybin, and other Psilocybe fruiting bodies. It is one of the most, if not the most extensive license to work with in psychedelic. We’re proud that our compliance processes have been recognized by Health Canada to allow the press of this important research. Second, recent upgrades to our lab allowed us to be granted a Containment Level 2 license by the Public Health Agency of Canada, which will allow us to deeply understand not only the mechanisms behind Psilocybe mushrooms and other naturally occurring psychedelic materials, but also their interaction with the human body. More specifically this bio-security expansion allows us to study pathogens and bacterial, fungal and microbial contaminants to identify baseline markers and optimal growth environments for Psilocybe mushrooms, perform bioassay studies, using mammalian cell lines to analyze the bioactivity of different whole mushroom formulation that contain both, psilocybin and other psychedelic compounds and perform pharmacokinetic and preclinical studies using an analysis of blood and other fluids to investigate reactions in the human body to whole mushrooms and other natural formulations. Obviously, this extended research allows us to investigate many new theories and discoveries, and we are excited to see what we can find. During the second quarter, we also appointed three highly respected industry leaders to the Bioscience Advisory Board, including two associate professors, specializing in research areas of interest to us and a patent attorney who is extremely well-versed in our state. We couldn’t be more pleased to have access to the immense expertise, all three of these individuals bring to our research and commercialization strategy. Operationally, shipping challenges impacted the timing of analytical testing services we were contracted to perform for our third-party research clients, which pushed certain services from the second quarter into the third. As a result, revenue generated by Numinus Bioscience declined 26% from the prior quarter. But importantly, an ongoing focus on operating efficiencies allowed the gross margins of the division to improve significantly, during the quarter. Overall, Numinus Bioscience achieved a 24.5% gross margin in the second quarter. Turning to the two clinical trials we’ve previously announced. The MAPPUSX Phase 3 study with MDMA for post-traumatic stress disorder is underway. As a reminder, we are hosting and managing the Canadian clinical research sites for MAPS, during this important study. We are pleased to have dosed our very clinical trials volunteer at our Montreal-based research clinic just a few weeks ago. The treatment offered through the study follows MAPS protocols of three sessions of MDMA administration and therapy, each to be followed with three integration sessions. This study is expected to be complete during the summer, and we look forward to updating you and seeing the final results MAPS will ultimately publish. And as you may have read in our earnings release earlier today, we are pleased to provide a new development for our Phase 1 proprietary Psilocybe extract. In recent weeks, our research lab has discovered an additional drug candidate, currently being referred to as NBIO-03 that is nearing the final stages of development. Given this new discovery, we believe them on sufficient way to review clinical trial results for NBIO-03 is to do so alongside the clinical trial program for NBIO-01. We believe this is the most fiscally responsible strategy to review both, drug candidates, though we will need to resubmit our applications to Health Canada in the next several months to reflect the redefined scope of the study. Assuming positive results from Phase 1, we anticipate the study will lead directly to Phase 2 clinical studies for both -- formulation to evaluate the efficacy of these products. We’re very excited to have two promising proprietary drug candidates in our development pipeline now. And we’ll update you as the study progresses. And with that overview of our second quarter highlights, I’ll turn the call over to John to discuss our second quarter financials in more detail, after which I’ll return to discuss the details and many benefits of our announced acquisition of Novamind. John?
John Fong: Thanks, Payton, and good afternoon, everybody. Our second quarter results benefited from both, the expansion of Ketamine-assisted therapy across our clinics, and the successful integration of the Neurology Centre of Toronto, where neurology services are generally also our emerging services. In total revenue for the second quarter was $0.8 million, representing a 240% increase from the second quarter last year and in line with the previous quarter. As Payton mentioned earlier, we’re pleased with the revenue generating during the quarter as we expected to see reduced client appointments around the December holidays, and there are also fewer days in the quarter than the one previous. Our clinic operations produce 87% of our revenue this quarter, compared to just 82% in the prior quarter, demonstrating the increasing importance of our clinical revenue stream. Second quarter revenue from Numinus Health was $680,000, a 5% increase from Q1 2022 and a 378% increase compared to the same quarter last year. Gross profits from our clinic division $202,000 during the second quarter, representing a 29.8% gross margin. As Payton mentioned, shipping challenges delayed expected analytical testing contract services at Numinus Bioscience during the quarter -- during the second quarter. As a result, Numinus Bioscience generated $105,000 of revenue in Q2, a 26% sequential decrease from the first quarter, but a 19% increase from second quarter last year. Importantly, we were very pleased to see significant margin improvement at Numinus Bioscience during the quarter, with the division achieving a 24.5% gross margin and $26,000 of gross profit. Collectively, increased higher margin revenue streams paired with ongoing operating efficiency initiatives, including scalable operating platforms improved our quarterly company gross margin to 21.9% during the quarter, and a total gross profit $229,000 during the quarter, which is a 349% increase in the previous quarter and highest gross profit we’ve achieved to-date. Overall, corporate expenses grew alongside the expansion of our business and higher corporate development activities and totaled $7.4 million during the quarter. Net cash outflow during the quarter was $5.5 million, higher than our typical run rate as a result of increased research and development activities and increased people, consulting and legal costs related to company’s continued growth. The loss for the quarter was $7.8 million or $0.04 per share. In terms of liquidity, we ended the quarter with a strong balance sheet and $48.3 million of cash on hand. With revenue streams offsetting some of our expenses, we continue to be well positioned financially to sustain our business model and pursue our long-term strategy. And with that overview of our financial results, I’ll turn the call back over to Payton to discuss the acquisition of Novamind. Payton?
Payton Nyquvest : Thanks, John. Just two days ago, we announced our largest acquisition to-date, and one that will position Numinus to be the North American industry leader in psychedelic therapy and research. We see four immediate benefits of this transaction.  First, it rapidly expands Numinus’ operations and brand into the United States with a reputable platform of revenue-producing clinics with an established and growing client base. Second, it will significantly grow our client programming as complementary services of -- service offerings will be shared and expanded across the combined clinic network. Third, it will combine Novamind’s leading clinical research site management capabilities with Numinus Bioscience’s research laboratory and analytical testing expertise, positioning our business as a spoke in the psychedelic sector wheel as we drive psychedelic research forward for a variety of commercial and academic organization. And fourth and perhaps importantly for those on the investor call, it accelerates our path to profitability.  The transaction expected to be immediately accretive to revenue, and based on forecasts and efficiencies and scale alongside Novamind’s higher margins will shorten the timeline Numinus projects to profitability. Overall, the acquisition is also anticipated to generate $3 million of annual cost savings through the elimination of duplicate corporate expenses. We couldn’t be more excited about what this means for our entry into the important to U.S. market, and the immediate impact on the scale of our business as we look to drive greater accessibility to treatments and greater efficiency through our operations. As for the acquisition terms, we have made an offer to acquire all the issued and outstanding shares of Novamind by way of a court approved Plan of Arrangement. Novamind shareholders will receive 0.84 of a Numinus common share in exchange for each Novamind share held, which implies a transaction value of C$0.44 per Novamind share, and a premium of 51% to Novamind’s 20-day VWAP on the CSE as at April 8, 2021, the last trading day prior to our announcement. We expect the acquisition will also bolster our financial performance, increasing Numinus’ revenue by more than 5 times current levels, and generating $3 million of annual cost savings in corporate expenses. In fact, the acquisition positions Numinus to become the top revenue producing psychedelic company with pro forma annual revenues nearing C$10 million, significantly more revenue than any of our direct peers in that same period, and averaging 11.8% of pro forma compounded quarterly revenue growth. This acquisition also accelerates Numinus’ U.S. expansion, 8 wellness clinics across Utah and Arizona in addition to the 5 things we have here in Kenya. From a clinic perspective, this underscores our growth strategy. From our first clinic acquisition in Q1 2021 to the proposed total of 13 clinics and 4 clinical research sites. And it drives important growth from a trained practitioner perspective, growing the number of our therapists and medical practitioners to 111, following the completion of this acquisition. Novamind’s U.S. market presence, complementary client programming and respected critical research site organization capabilities will allow us to treat the mental health needs of a wider variety of our wellness clinic clients. As you can see from this diagram, we have many complementary services through the wellness clinic offering that will provide meaningful opportunities to expand our service offering across both, our existing and acquired clinic locations, as we integrate Novamind into Numinus’ operating platform. Following the business integration, Numinus will have 13 client-facing wellness clinics with concentrations in Utah, Montreal, Vancouver and Arizona. And we will continue to evaluate other opportunities across the U.S. In addition, we’ll have four clinical research facilities and one bioanalytical research laboratory. Overall, our research capabilities will benefit from our combined leadership in psychedelic bioanalytical testing and clinical research management. With the collective research projects already being managed for MAPS, MindMed, Usona and the University of Utah amongst others. Together, we will be an industry leader in psychedelic therapy and research, with a shared mission of responsibly reintroducing psychedelic therapy to mental healthcare, improving access to these important treatments, and we will become an industry-leading North American platform for psychedelic clinics and clinical research. As both Novamind and Numinus are publicly traded companies, this acquisition will require shareholder approval. We expect the transaction will be complete this upcoming June with the integration and rebranding efforts underway this summer. Collectively, the deal represents a combined enterprise value of approximately C$88.3 million, based on a share price the last trading day prior to our announcement. But more than anything, we are excited about the strategic benefits of the combined businesses. This will be Numinus’ largest acquisition to-date and our first entry into the U.S. market. It positions Numinus as a leading provider of integrated mental healthcare, offering both traditional and psychedelic therapies. It grows our client programming as complementary services and best practices will be shared across the expanded platform. It combines Novamind’s leading clinical research management capabilities with our existing research labs and analytical testing expertise. And just as importantly, it accelerates our path to profitability through significant revenue growth, efficiencies of scale and identified cost energies. We’ve never been more excited about the future of our business. And I look forward to sharing the progress with you over the coming quarters and years. And with that, I would like to open the call to questions from analysts and institutional investors. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line Sepehr Manochehry with Eight Capital. Your line is now open.
Sepehr Manochehry: Good afternoon. And congrats on the growth in your business as well as the transformative acquisition. So, just given the broader demand drivers for mental health and the reopening, there seems to be potential for considerable inflection here in your existing footprint and your prospective footprint. So, I want to understand, as you’re getting close to benefiting from scale, what are the growth drivers that you think about and relevant metrics that you consider? Is there things like referral sources, appointment volumes, web traffic, call and inquiries or any other metrics? And maybe as a second to that, how do you plan to increase those metrics?
Payton Nyquvest: Yes. I think, especially as we look to drive into the U.S., you’re seeing, I think, an important one being more interest in third-party insurance provider support for mental health services, and more and more support for Ketamine-assisted type of therapy. I think just continuing to build brand awareness as well and with scale, a strong reputation in mental health care overall. But, I maybe pass over to Evan and John as well for any color.
John Fong: I think, quite a few things there and Payton touched on earlier in the call as well about having sufficient training practitioners to deliver the services that we provide. And also ramping up on marketing efforts to get to increase top of funnel leads into our clinics.
Sepehr Manochehry: Understood. And yes, that’s definitely doubling your number of practitioners, certainly helps with that. Maybe as a follow-up to that is the higher margin services that, for example, Neurology Centre of Ontario provides, is that something that -- the lever to adding that to other facilities is something like equipment or is it trained practitioners or is it particular designations, like a few -- I know you don’t have necessarily TMS there now, but if you’re looking to add these additional services, what are the hurdles you have to overcome to fold in additional...
Payton Nyquvest: It is a combination of training specialists, equipments, and finding the space at the clinic locations to deliver those services.
Sepehr Manochehry: And I know that obviously with the payer relations that Novamind has established, a key differentiator has been there I believe less than 20% out of pocket pay, and I know they have call center. Is that something that you think would be beneficial to your broader business? And would that, I guess, be relevant to the SAP program and maybe pre-approvals or helping select relevant patients for the SAP program in Canada?
Evan Wood: That’s probably one for me. This is Evan Wood, the Chief Medical Officer. I think that at this stage, the Special Access Program is really individual patients seeking to access drugs that aren’t yet approved, like psilocybin or MDMA via individual patient applications with individual physicians acquiring on their behalf. So, I don’t think that that’s sort of relevant to sort of call center mode. But certainly, yes, Novamind has been able to find the efficiencies and strategies to be able to link people with mental wellness challenges to treatment in a timely way. And so, I think there’s lapping [ph] there for our entire organization and ways of finding efficiencies that will ultimately result in better outcomes for patients.
Sepehr Manochehry: Interesting. And I did notice that you are planning a new facility in Vancouver. Does this Toronto and the patient population density here also lends itself to organic growth or are there potential acquisition opportunities in terms of other players that are in Ontario area that would grow your base here as the focus is really right now going that western U.S. footprint and scaling there, leveraging those payers and the synergy is attainable?
Evan Wood: Payton, do you want to speak to that in terms of growth versus acquisition?
Payton Nyquvest: Yes. I think over the last little bit, as mentioned, we are currently expanding our footprint in Vancouver. Obviously, quite a bit of work to do just to integrate the Novamind acquisition, and we’ve done a number of acquisitions to-date, continuing to look at different opportunities around primarily acquisition growth as we go into the future, but again, really making sure that they continue to stay in line with our acquisition criteria, and sort of thoughtful growth strategy.
Sepehr Manochehry: Awesome. And maybe just a last one for me is, if you can characterize on your progress and your engagement with MAPS and this transaction increases your potential role as a commercial partner, given that now you’d be multinational player in the space?
Payton Nyquvest: Yes. Myself and Even can maybe touch on that as well, but definitely we have continued to deepen and develop that relationship with MAPS, obviously highlighted by beginning the dosing for the Phase 3, but also we’ve continued to train a host of practitioners. And now with bringing on Novamind facility [ph] potentially an opportunity to expand that into that platform as well. But, Evan, maybe some comments from yourself also?
Evan Wood: Yes. Novamind obviously has their own independent relationship with MAPS. So, we’re not starting from the ground up there. And yes, I think it’s too early to say. Obviously MAPS has completed one Phase 3 trial and the second Phase 3 trial is well underway. And so, it’s natural that they’re shifting gears, focusing to look at readying themselves for post-approval. But I think it’s premature for us to be talking publicly about anything beyond our existing collaboration.
Sepehr Manochehry: Understood. Well, thanks so much for getting into the minutia. And I’m excited to see this transformative acquisition and the integration synergies that will be attainable.
Operator: Your next question comes from the line of Richard Spencer with Westcliff Capital Management. Your line is now open. Mr. Spencer, your line is now open.
Richard Spencer: Sorry. I had it on mute. Would you describe the differences in profitability between the core therapeutic clinics -- clinical treatments and the higher margin stuff, like Ketamine-assisted psychotherapy and CMS? Both the magnitude, and then second part of the question the kind of a mix of what is the -- in terms of total therapeutic hours or something like that, between what’s the higher margin versus what’s the lower margin -- on treatments?
John Fong: Thanks, Richard. This is John Fong. I’ll take that call. In terms of margin mix based on services, traditional psychotherapy usually has lower margin because they are one-on-one therapy services. Those would have -- those would usually -- are in a situation, where it does have lower margin between 20% to 30%, where we see the higher margin services are with our KAP offering, and also group therapies program, and the margin around that would be between 30% to 50%.
Richard Spencer: And that’s for both, group therapy as well as KAP or TMS?
John Fong: Yes.
Richard Spencer: Okay. Could you describe kind of what the protocol is, briefly for KAP in terms of hours of treatment and so on and kind of what the reimbursement is for that treatment, or revenue, some kind of measure of revenue?
Evan Wood: John, do you want to talk about revenue and I can talk about the process, or how do you want to do that?
John Fong: Sure. Evan, why don’t you provide a little bit of insight into the protocol, generally, the program itself? And then I can wrap that around any financial information.
Evan Wood: Sure. Yes. So, our Ketamine-assisted psychotherapy protocol or our approach to Ketamine-assisted psychotherapy is I think a little bit unique in the space and that we have dedicated protocols for different mental wellness challenges. So, the PTSD protocol is different than a depression protocol, it’s different than the anxiety protocol or substance use protocol. But the general framework involves a process of arriving in a diagnosis and screening a physician assessment, and then a number of psychotherapy sessions, usually 90 minutes in duration to enable the individual to set their intentions and the therapists to develop their report with them to support them to experience, and then the Ketamine-assisted psychotherapy followed by integration sessions. So fairly typical psychedelic-assisted psychotherapy model with a second series of preparation, psychedelic experience and integration. So, the model is fairly typical with a fair amount of the psychological support and dedicated sort of psychological support, depending on the disorder that the individual has. So, I hope that answers your question. And then John can sort of describe the revenue model.
John Fong: In terms of the revenue model, we are seeing that because of this program, it is multisessional. A lot of the integration sessions can be delivered virtually. And for the Ketamine dosing session, that is in clinic. So, because of the virtual model, we do see a higher margin in these services.
Richard Spencer: And how long are the psychedelic sessions in clinic sessions, like two hours?
John Fong: Yes. It ranges. I mean, individual can’t leave the clinic till they are cleared by the medical staff, but anywhere between two to four hours, depending on the circumstances and the individual’s response and everything else. Maybe the other thing that I’ll quickly mention is, there is some variability depending on the jurisdiction. So, in some places, TMS is reimbursed by insurance companies, and other jurisdictions, it’s not. So, there is -- for people that are developing services like this, there’s geographic considerations with some of those things as well.
Richard Spencer: Okay. One more question. You mentioned that you think this acquisition is -- Novamind is going to, one, be accretive on a revenue basis and accelerates your path to profitability. Would you venture guess as to when you think you might cross over to profitability, once the integration is done and kind of date you could set on that?
John Fong: We’re thinking between two to three years.
Richard Spencer: Okay. Next question or last question, I hope I won’t be coming up with more, is with respect to the eventual approval of psilocybin for a TRD or other applications, which seems like it’s about two to three years off. What are you doing -- what’s your plan to modify and prepare your clinics for the different, longer sessions and different protocols that exist there, both from an operational in terms of therapists’ attention and so on? And how -- I guess that’s the question.
Evan Wood: I can take that one, unless you want to, Payton?
Payton Nyquvest: Go ahead, and I can jump in after you, Evan.
Evan Wood: Yes. It’s a great question. I’ll share that a lot of our physical infrastructure has been developed with the sort of long view with the physical infrastructure set to be able to do those longer term psychotherapy sessions. And obviously already set up with some of the infrastructure and clinics where for instance the MAPS Phase 3 trial ran and other space that we’ve purpose renovated to be able to support that type of physical infrastructure in terms of soundproof rooms and other things that are required to be able to properly do psilocybin or MDMA assisted psychotherapy.
Payton Nyquvest: Yes. Just echoing off that, the intension around not only the purpose built facilities, but also a part of our acquisition criteria has always been with, keeping in mind MDMA and psilocybin-assisted therapy, and a big part of the reason for obviously the MAPS collaboration. And I think also very interestingly, now with the Novamind acquisition where they’re running a number of trials with psilocybin, as well as LSD within clinical settings, within their own footprint. So, we’ve continued to grow with those therapies in mind, as well as training practitioners and getting clinic systems and operations very familiar with it, so that when those approvals are in place, we can move quite quickly.
Richard Spencer: And do you see those -- the eventual treatment protocols being somewhat similar to the protocols described in a Stan Grof’s various books on LSD psychotherapy?
Payton Nyquvest: Stan’s got a pretty extensive collection of therapeutic protocols, obviously with LSD in particular. But we’ll continue to keep our treatments based off of what’s been shown in the research and literature. And there’s a lot of information out now obviously about the MAPS protocols as well, and encourage people to review that protocol and those research results.
Richard Spencer: All right. Thanks for answering all those questions, and very nice job on the acquisition. And I hope that goes smoothly for you. Thanks for your time.
Payton Nyquvest: I appreciate that. Thanks so much. Thank you.
Operator: There are no further questions at this time. And I now turn the call back over to Payton.
Payton Nyquvest: Thanks, operator. And thank you everybody for joining us for the conference call today. I look forward to speaking with you in Q3 in July when we will report our fiscal third quarter results. Thanks everybody.
Operator: This concludes today’s conference call. Thank you for attending. You may now disconnect.